Operator: Greetings, and welcome to Park Hotels & Resorts First Quarter 2018 Earnings Conference Call. At this time all participants will be in a listen-only mode. A brief question-and-answer will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Ian Weissman, Senior Vice President, Corporate Strategy. Please go ahead.
Ian Weissman: Thank you, operator, and welcome, everyone to the Park Hotels & Resorts first quarter 2018 earnings call. Before we begin, I would like to remind everyone that many of our comments made today are considered forward-looking statements under Federal Securities Laws. As described in our filings with the SEC, these statements are subject to numerous risks and uncertainties that could cause future results to differ from those expressed, and we are not obligated to publicly update or revise these forward-looking statements. In addition, on today's call, we will discuss certain non-GAAP financial information such as FFO and adjusted EBITDA. You will find this information together with reconciliations to the most directly comparable GAAP financial measure in yesterday's earnings release as well as in our 8-K filed with the SEC and the supplemental financial information available on our Web site at pkhotelsandresorts.com. This morning, Tom Baltimore, our Chairman and Chief Executive Officer, will provide an update on capital activity during the quarter, a review of our first quarter 2018 operating results and an update to 2018 guidance. Sean Dell'Orto, our Chief Financial Officer, will provide further detail on our first quarter financial results, an update to our balance sheet and additional color on our value-add CapEx projects and Caribe insurance claim. Rob Tanenbaum, our Executive Vice President of Asset Management, will be joining for Q&A. Following our prepared remarks, we will open the call for questions. With that, I would like to turn the call over to Tom.
Tom Baltimore: Thank you, Ian, and welcome everyone. I'm pleased to announce another successful quarter during which we actively demonstrated significant progress toward our strategic goals. Specifically during the quarter, we successfully executed on two of our corporate guiding principles of operational excellence and prudent capital allocation by delivering better than expected RevPAR and margin performance While redeploying the capital from our non-core assets sales to buy back stock at a significant discount to net asset value. These achievements highlight our unwavering focus on creating shareholder value and delivering meaningful returns. Turning to operational results. Q1 came in better than we had expected with comparable portfolio RevPAR increase of 1.1% and relatively flat margins down just 10 basis points. Expense growth came in at just 0.5% during Q1, highlighting the positive impact the asset management team continues to have on margins despite rising labor cost and higher property taxes. In addition, reported adjusted EBITDA of $173.6 million came in above our internal expectations. Results during the quarter were driven by the continued strength across our Florida properties and Orlando in particular. This strength was largely offset by softness in Chicago and San Francisco as well as renovation disruption in New York, San Francisco and Santa Barbara. Excluding renovation displacement, our Q1 comparable RevPAR would have increased 2%. Diving into our major markets, our Orlando hotels continued their outperformance from 2017. Our Bonnet Creek Complex benefited from strong group production and healthy transient demand resulting in RevPAR growth of 7.2% and food and beverage revenue growth of nearly 15%. Due to strong banquets and catering revenues, which were up roughly 20% during the quarter, hotel margins improved 365 basis points across the complex. Staying in Florida, I'm happy to report that our two Key West properties have recovered ahead of schedule following the effects of Hurricane Irma. Rev PAR was up a combined 3.3% for our two hotels outperforming the Key West Market by 220 basis points. We are encouraged by the fundamentals in Key West and are confident that the island will be back to normal visitation levels in the coming months. Our New Orleans Riverside Hotel also recorded healthy RevPAR growth of 3.2% outperforming the market by 380 basis points and the comp set by 590 basis points despite some softness on the group side. We were particularly impressed with the increase in transient demand at our property and are encouraged by the changes implemented by the new leadership at this property. In Hawaii, our Hilton Hawaii and Village Hotel recorded 0.9% of RevPAR growth for the quarter, a softer group quarter and declines in Asian inbound wholesale business resulted in choppy demand so the property team did a phenomenal job replacing this demand resulting in an approximate 94% occupancy for the quarter. Additionally, we continued to benefit from the increased airlift to Kona both from the east and west resulting in a 9.5% increase in RevPAR at the Hilton Waikoloa resort during the first quarter. Our two Hawaiian teams continued to drive new business to the respective hotels and we are further encouraged with this market as Southwest Airlines is scheduled to begin flying to the Hawaiian islands as early as late 2018. In San Francisco, our two hotels recorded a combined RevPAR decline of 0.7% which outperformed the San Francisco market by 160 basis points. And the San Francisco market street track by 370 basis points. Our hotels were impacted by the weak [that were] [ph] a citywide convention performance and one group cancellation, but were fortunately able to shift the mix to partially offset group production with permanent and transient business. In addition as previously noted, we decided to accelerate the final phase of the Hilton San Francisco renovation, which was completed in early February. The renovation negatively impacted the hotel's RevPAR results by 130 basis points during the quarter. Excluding this impact, Q1 RevPAR for the two combined hotels would have increased 90 basis points to 0.2% growth. With the Hilton San Francisco hotel rooms now fully renovated, we are expecting very strong group performance in the second quarter up nearly 40%. In New York, ongoing renovations at our Hilton Midtown hotel negatively impacted results by 280 basis points with RevPAR growth for the quarter coming in at negative 1%. Although I'm pleased to report that more than 80% of the rooms of the hotel have now been renovated with the next and final phase set for Q1 2019. Despite weakness on the transient side, Food and Beverage revenues were up 4.5% during the quarter while newly instituted urban fees translated into an incremental $1 million of income during Q1. As we look ahead over the balance of 2018, we expect a healthy recovery and fundamentals of this hotel especially in Q2 given the 30% increase in group bookings expected in the quarter. Finally, we had a soft quarter at our Hilton Chicago property, which experienced a RevPAR decline of 7.2% as we face challenging year-over-year comparisons. The hotel was also impacted by the loss of contract business during the quarter. However, for the balance of the year, group pace is up 10.4% and we expect stronger performance for the year for the remainder of 2018. In terms of business mix ongoing strength in leisure transient helped to offset weakness in corporate transient demand and a short-term challenge on the group's side. As we expected, Q1 presented a challenge with group revenues falling 2.2% driven by a 6% decline in corporate demand. Fortunately, much of this group weakness was offset by strong growth in permanent demand, which was up 17.6% in the quarter fueled by our two San Francisco assets. More importantly group trends improved as the group pace for the year increased to 3.6% up 60 basis points from our last quarterly call while our 2019 group pace is trending up 220 basis points to 6.8%. The increase in group pace for both years a very encouraging trend for group fundamentals. Our first quarter operating performance saw the benefits of our asset management initiatives. As previously mentioned expense growth of just 50 basis point lead to a better than expected margins for the quarter despite RevPAR growth of only 1.1%. The asset management team along with our partners at Hilton have done a terrific job at containing cost by further improving on room expenses initiating additional food and beverage expense controls, consolidating management positions and continuing to refine the management teams throughout the portfolio. On the revenue side, grouping up remains our primary focus over the next few years with the team already making great progress. During Q1 our above Property Group Initiative added approximately 5000 room nights accounting for nearly $1 million of incremental revenues within overall 2018 booking goal of $6 million up threefold from the prior year. Additionally, other sources of income include resort fees, which were up 34% year-over-year, room up sales up 17% and parking revenue up nearly 9% year-over-year, collectively accounting for an incremental $5 million of revenue in the quarter. In summary, we are very pleased with our performance this quarter and we feel very confident in our ability to realize 75 basis points of relative margin improvement in 2018. Looking forward to the second quarter, we anticipate stronger performance stemming from a strong group quarter with group pace up in the high teens across our portfolio driven by Honolulu, San Francisco, Chicago, New York and Key West. In terms of the broader economic environment, we remain encouraged by the improved sentiment since the passage of tax reform late last year. With consumer confidence at a near 18-year high and economic indicators for non-residential fixed investment and corporate profits estimated in the mid single digits for 2018 and 2019. We feel optimistic that fundamentals will continue to fuel hotel demand across key segments. Now, I'd like to turn to our capital recycling efforts and the superb execution by our team over the last several months. As announced on our last call, we sold 12 non-core hotels in the first quarter of gross proceeds of approximately $379 million and exercise which up to meaningfully improve the overall quality of our portfolio. The portfolio RevPAR increasing $7 dollars to $169. We determined that the best use of proceeds from our non-core asset sales was to take advantage of the dislocation in our stock buying back 14 million shares from H&A as a part of their secondary offering in early March at a significant discount to net asset value. This Successful transaction was accretive to earnings eliminated the perceived equity overhang on our stock broadened our shareholder base and ultimately helped to narrow the valuation gap with our peers. Continuing our success, I am pleased to report that we recently entered into a contract to sell the Hilton Berlin a hotel we own in a joint venture. Pricing was very strong and with the sale expected to generate gross proceeds of roughly $367 million or 19.8x 2017 EBITDA multiple equating to a 4.5% cap rate before adjusting for CapEx requirements. Closing is expected to occur in the coming weeks, with net proceeds to Park expected to be approximately $140 million with Park likely to declare a special dividend in the aggregate range of $80 million to $90 million subject to Board approval. Following the sale, Park will have an ownership interest in just four hotels outside of the U.S. accounting for approximately 1% of the EBITDA down from 14 hotels and 5% respectively held at the beginning of the year. I am incredibly proud of the results achieved by our teams since we initiated marketing of our non-core portfolio last fall and our seamless execution on multiple sales given the strong institutional demand for lodging real estate and the success of our Phase 1 disposition program. We are currently initiating a second phase of potential sales which could include another five to eight non- core assets accounting for $30 million to $40 million of EBITDA. Our plan would be to recycle proceeds utilizing a 10.31 exchange to acquire properties with a focus on improving overall portfolio quality, while enhancing brand and operator diversity. We'll provide more color in the coming months. Turning to guidance, given our better than expected results in Q1 coupled with slightly stronger than expected operating trends over the balance of the year, we are adjusting our guidance range for 2018. Specifically, we are increasing our full year earnings guidance with EBITDA increasing by $5 million at the midpoint to a new range of $710 million to $750 million, while our FFO guidance increases by $0.02 per share at the midpoint to a new range of $2.76 to $2.92 per share. Additionally given what we expect to be a very strong second quarter, we are increasing our full year RevPAR guidance range by 50 basis points at the midpoint to a new range of 0.5% to 2.5%, while margins increased by 10 basis points at the midpoint to a new range of negative 70 basis points to a positive 30 basis points improvement. With that, I will turn the call over to Sean.
Sean Dell'Orto: Thank you, Tom. Looking at our results for the first quarter, we reported total revenues of $668 million, an adjusted EBITDA of $174 million, while our adjusted FFO was $137 million or $0.65 per diluted share. Turning to our core operating metrics, our comparable portfolio produced a RevPAR of $166 or an increase of 1.1% during the first quarter. Our occupancy for the quarter was 78.5% which was flat year-over-year, while our average daily rate was $211 or an increase of 1% versus the prior year. These top-line trends resulted in hotel adjusted EBITDA of $159 million for our comparable portfolio, while our hotel adjusted EBITDA margin was 26.9% or just a 10 basis point decrease from the prior year. With respect to CapEx, we invested $48 million in our hotels during the first quarter including $30 million spent on guest rooms, lobbies and other guest spacing areas. As we recently announced, we completed the $14 million renovation, rebranding and repositioning of our Doubletree Fess Parker hotel located in Santa Barbara to the Hilton Santa Barbara beachfront resort. The scope of work until the remodel of the hotel's 360 guest rooms and bathrooms and a full renovation of the hotel's 40,000 square feet of meeting space, while further enhancing the arrival experience, entirely new flooring, soft seating and case goods throughout the lobby. In February, we completed the final phase of guest room renovations at the Hilton San Francisco Union Square. The $16 million project includes a full renovation of 407 existing guest rooms while converting excess office space into two additional keys. And in New York, we recently wrapped up an additional phase of rooms renovation which included 371 keys for a total spend of $26 million. We are excited about these upgrades particularly the upbranding of our hotel in Santa Barbara and believe these all lead to increasing competitiveness by hotels in their respective markets. Moving to our balance sheet Park remained in very solid financial shape following the most recent asset sales and stock buyback. With nearly $270 million of cash as of quarter and $1 billion available under our revolving credit facility. Net leverage is currently at 3.9x which is at the midpoint of our targeted range of 3x to 5x. Turning to the dividend, on April 16, we paid our first quarter cash dividend of $0.43 per share. And as of last Friday, our Board declared our second quarter dividend of $0.43 per share to be paid on July 16 to stockholders of record as of June 29. This dividend currently translates into an implied yield north of 6% maintaining our position as one of the highest yielding stocks in the lodging REIT sector. Finally, we want to provide a brief update on our Caribe Hilton Hotel, which is undergoing extensive renovation following last fall's hurricane. First and foremost, we have assembled a dedicated and talented team, we're working diligently on the restoration of this iconic asset, we remain confident that the hotel be ready for a soft opening by December 2018. On the insurance claim front, we are still working to finalize the formal submission, however, based on the work completed to-date, we remain confident that our insurance coverage is sufficient to cover the vast majority of the total cost of restoration and business interruption in excess of our $11 million deductible. We continue to work with our insurance representatives and other advisers to process the claim in an efficient and timely manner. For modeling purposes, we wanted to note that the full year EBITDA projected for the property Primaria was $8 million. To-date we have not received business interruption proceeds, however, we expect to recover portion in Q2 with the balance of the total BI claim expected to be received over the next 12 months. Our 2018 guidance still assumes receipt of BI recoveries that replaced the last calendar year of $8 million, a portion of which is carryover from 2017. That concludes our prepared remarks. At this point operator, we'd like to open it up for questions. In the interest of time, we are asking all participants to limit their response to one question and one follow-up. Operator may we have the first question please.
Operator: Yes, thank you. Your first question comes from the line of Rich Hightower with Evercore ISI. Please go ahead with your question.
Rich Hightower: Hey, good morning guys.
Tom Baltimore: Good morning, Rich. How are you?
Rich Hightower: I'm doing well. It's been a busy week for us. Thank you for asking. So, I would like a little more color if you can give it on the sort of second phase of asset sales, which is sort of news to the market here this morning. Just any further color on the characteristics of those assets, I know you gave out the EBITDA contribution. And then, secondarily if you think about sources of funds obviously the 10.31 proceeds would be included there. But how do you feel about your cost of equity capital now that a lot of the noise is out of the way, the stock has performed well post H&A and you guys are in a better position than you were 90 days ago. Just how do we think about all the different moving parts there?
Tom Baltimore: Great. All questions, Rich. On the last question regarding, how do we feel about our stock price, cost of equity certainly better today than it was 90 days ago. I will still say that I'm a net buyer of our stock than I am a seller of our stock. Look, we are laser focused on continuing to demonstrate really those core values that we talked about time and time again that is of the operational excellence being a big allocator, prudently managing our balance sheet. Obviously as you know, we also talked about our internal growth strategy, cycling capital, our live project, improving margins and of course grouping up and we think by continuing to execute that, hope and expectation is that we're going to continue to improve our cost of equity that will [indiscernible] move up and allow us to go more aggressively on an offense. So with that sort of backdrop. Looking at our portfolio really the top 25 assets, it counts from really north of 85% of our EBITDA plus or minus. So look at the success of the first phase and again the 12 that we sold for $379 million. We effectively used that to anchor the H&A, secondary to buyback 40 million shares at $24.85. I think by all accounts, it was a seamless, flawless execution fully benefit of the stock from that standpoint. Also improve the overall metrics of the portfolio. Look at the second phase, again, we're looking at another five days assets RevPAR those approximately a $112. They are 33% to 35% below the portfolio average margins much lower and also capital intensive. So our view is prudent case here to continue to market and sell those and use those proceeds most effectively, mostly U.S. assets and at 10.31, so that we could use the opportunity to both brand -- diversify both brand and by operator. And we certainly like their natural families of brands both Marriott and Hyatt come to mind among others. Certainly want to grow and expand our relationship with and we think that's important. Really over time, we want a diversify that. You'll see that more and more work and a lot of effort towards that in the coming months and with our hope and expectation that that we can add another flag to the portfolio calendar year 2018.
Rich Hightower: Okay. great. That's a helpful color, Tom. My second question here since I get to, just given the size of the asset and the contribution to the pie. To talk about Hawaiian village really quickly, how long will the runway so to speak be on the air lift changes in Hawaii that sort of impacted that asset in the first quarter, when do you sort of expect that effect to anniversary?
Tom Baltimore: Talking about Waikoloa? Are you talking about Hawaiian village?
Rich Hightower: No. I'm talking Hawaiian village. That was the one that was negatively impacted, yes.
Tom Baltimore: Yes. I mean, listen, Hawaiian village is -- my humble opinion is, I think one of the most iconic assets in all of the lodging REIT space. When you think about, it's still running, I think 94% occupancy in the first quarter. If you look historically, it runs mid 90s, five towers, nearly 3000 guest rooms, 145,000 square feet of retail, 96,000 square feet of green space. The tower this year will celebrate I think its fiftieth anniversary. We're looking at -- there is an out parcel that we're looking at getting control of and efficiency looking at over time, continuing to master plan, just irreplaceable from that standpoint. So really the isolated issue was just first quarter, the team is working aggressively to continue to build our Asian wholesale business and we're confident we'll be able to replace that if you look at the group pace. In the second quarter, I believe it's up 14%. So without question believe we'll be back at getting to the ground aggressively and strong performance will probably finish the year in low to mid-single digit RevPAR growth. I feel great about that asset and I don't know of an asset that contributes more EBITDA, in fact that size of -- size of some of our peers, so I will put in that perspective.
Rich Hightower: Got it. Thanks Tom.
Operator: Our next question is from the line of Smedes Rose with Citi. Please proceed with your question.
Smedes Rose: Hi, good morning. It looks like Hilton. Good, thank you. It looks like Hilton is going to follow Marriott in reducing commissions paid to third party intermediaries for group bookings? Could you talk about what percent of your group bookings come through these third parties now?
Tom Baltimore: I would say approximately Rob correct me, I think approximately good commissions are about 45% I think comparable to many of our peers. We think this move by both Marriott is prudent, it's appropriate when you look at the acquisition costs across the business and across the industry. We got to continue way, there is an industry that continues to lower our cost of acquisitions. So we thought this was a prudent, necessary and a wise move and we wholeheartedly support it.
Smedes Rose: Yes. Make sense. The other thing I just want to ask you on the special dividend from the asset sale in Berlin. Is it cash dividend requirement or would you have a choice or an option of doing 10.31 exchanges with that or because it's in Europe or some other rules that it would be a cash distribution?
Tom Baltimore: Couple of things. It's in Europe and it's also a stock sale. And so we've framed it, we've studied it carefully both our internal and external advisers. And we estimate again that a special dividend is the most appropriate course. Again, in an aggregate $80 million to $90 million range subject of course to Board approval. And again, I think it shows further evidence, think about the -- both assets that we sold and how efficiently we went through and insulated from a tax standpoint there and minimized any tax payments and use those proceeds again to buy back stock. You see this is a prudent allocation about -- think about an asset, we only own 40% of it. It shrinks really our international portfolio which is kind of desired to do and returns to capital and I think under a -- hasn't closed yet, but under very, very attractive pricing for the benefit of shareholders
Smedes Rose: Okay. Thank you. Appreciate it.
Operator: Our next question comes from the line of Anthony Powell with Barclays. Please proceed with your question.
Anthony Powell: Hi, good morning everyone.
Tom Baltimore: Good morning, Anthony.
Anthony Powell: Good morning. Tom I think you mentioned some corporate transient weakness in your prepared remarks mostly other peers have talked about stronger than expected corporate transient. So was your corporate business impacted by some property specific issues? And what's your view on that for the rest of the year?
Tom Baltimore: I think it's really isolated Anthony and like many of our peers look we are encouraged when you think about deregulation and think about tax reform, look at unemployment come down to probably an 18-year low, consumer confident up to perhaps an 18-year high. So I think there's a backdrop. Fiscal spending and improving about [$300 billion] [ph] I think over the next two years. So we see all of that being incredibly positive for the industry and for our portfolio on particular. Couple of things that I would note is, as you know as we talked about our internal growth strategy we have been laser focused on grouping up. Look at this portfolio, hard portfolio, our Top 10 assets or 65% to 70% of our EBITDA. And we've got 10 assets with over 125,000 square feet of meeting space. We concluded with the framework of our asset management team and Rob Tanenbaum and really and our partners at Hilton that it makes most sense to group up. So we've made a commitment to grow our top 25 hotels from 31% to up to about 35%. Both across the portfolio we're seeing evidence of that even in first quarter that group was 33% percent and transient around 60% of our overall portfolio. We also grew our contract business by almost 18%. Our group pays for 2018is up nearly 3.6 for 2019 again approaching 7%. Again, if you look at the second quarter, we're looking at a very strong quarter, our group pace is up nearly 16%, we expect RevPAR will probably be in the mid-single digit range. But we look at a San Francisco group of pace up 40% percent, New York City up 33%, Chicago Hawaii, Key West all up double-digit. So we're very, very encouraged. Transient is still flat to slightly negative. But in part that's because we're so focused on grouping up. We're confident that seeing some evidence of improving transient. Like many of our peers and expect that's going to continue to benefit the intermediate and long-term by anchoring our portfolio long group and contract business will allow us to yield our business that are -- throw the ancillary forms of revenue. And most importantly margins and cash flow. So we're very encouraged that we're making progress based on all the things that we've said all the initiatives that we put in place.
Anthony Powell: Got it. Thanks for that. And you've been pretty vocal about your desire to consolidate the lodging REIT sector, but you said in the past that you need to hear multiple to increase before you would, you answered Rich's question implies that you still want a higher multiple but if you could just comment on your approach to M&A generally right now.
Tom Baltimore: I wouldn't be here. If I didn't believe passionately that hard platform [indiscernible] a great opportunity for long-term growth for all the stakeholders for our associates, our investors and I think the opportunity to be a participant and what I hope will be a consolidation of our segment. It's highly fragmented and in appropriate time, we certainly want to be a part of that discussion and on multiple currencies not in the position today that really allows us to take advantage. We are working hard to improve that. And I think look carefully at our performance over the last year show, see the evidence that we're doing everything we said we would do.
Anthony Powell: Right. Got it. That's clear. Thank you.
Operator: Our next question is from the line of Robin Farley with UBS. Please proceed with your question
Unidentified Analyst: Hi. Thanks. This is actually [indiscernible] for Robin. Could you maybe talk about flow through on full year basis in terms of EBITDA. RevPAR is going out 50 basis points and it seems like margins are going up as well but EBITDA went by $5 million and we would have thought that flow through would have been a little bit higher. Is it getting harder to hold margin despite your RevPAR rate being higher than last year?
Tom Baltimore: Let me provide some little bit of comment and then turn over to Rob Tanenbaum. I am really proud of our performance in the first quarter, when you think about again we are up by RevPAR 1.1% and all of those renovations [indiscernible] really on expense growth only up about 0.5%. Our asset management team partnership with property partners that had a lot of credit. I think that's very strong performance all things considered. And now we're confident as we demonstrated last year margins and we are confident that on a relative basis, we will be able to deliver that 75 basis points of incremental margin improvement this year as well. Rob, do you want to add?
Rob Tanenbaum: Thanks Tom. I would say that the -- from a GOP perspective our flow through was 83.5% on the incremental revenues during the quarter, which is phenomenal. I can credit to our team or team partnership and dealt in. We spent a great deal of time focused on our revenue management strategies and look at new ways to achieve success. And I'll give you one great example. We recently updated our rooms categories that are at Park 55 Hotel. We have 83 rooms that were originally standard entry level rooms for us and walking through the property, the team recognized that we can convert that to a premium level room with a $30 to $40 rate premium associated with that. And if you think about that on a multiple basis, the run rate, that's a significant opportunity. So as we look through the portfolio day in and day out working in partnership with [indiscernible], we believe it's great opportunity for us to further improve our and exceed our margins.
Unidentified Analyst: Thank you. That's helpful. One of your competitors yesterday talked about flat margins with 2% RevPAR growth. As you broadly look at good business and transient trends today and kind of look at 2019 and everything you're doing on the cost cutting front and increasing group business as a percentage of mix. Do you feel that something that you could echo that you could have a flatter margins with 2% RevPAR next year?
Tom Baltimore: I would answer though. I think probably a RevPAR and the 2% to 2.5% range that I think that is achievable. But there are a lot of variables that come into play there. But I think that range and given the hard work it's again I think the first quarter is a great illustration. Five was made from last year and your laser focus again on the internal growth story and we are part of that.
Unidentified Analyst: Thank you very much.
Operator: Thank you. Our next question is from the line of Floris van Dijkum with Boenning. Please proceed with your question.
Floris van Dijkum: Great. Thanks for taking my question guys. Tom you talked a little bit about the size and magnitude of the Hawaiian village and if your stock continues to trade at a discount, would you consider potentially JV being that asset to raise capital to diversify away from Hilton?
Tom Baltimore: It's a great question. Look we are really blessed, when you think about the iconic nature of this portfolio, I think provides a lot of optionality for us. There are assets that could make sense to put into a joint venture that provide growth capital at very favorable terms by allowing us to retain control. That's certainly something that will be on the table of options that we explore. Right now more than anything else is laser focus began long-term growth story continuing to recycle capital, continuing find ways to activate the real estate through our return on investment opportunities. What we did at Santa Barbara is a great example of that. What we're planning to do at Bonnet Creek add additional meeting space another example, all the margin initiatives that both Rob and I've talked about, and again continuing to group up. But, listen, all options are on the table to create shareholder value. What you saw in -- how we so efficiently and effectively leveraged the rise that we've had through H&A. Recycle that capital and buy back stock is very attractive pricing sample. So this team is very seasoned, very skilled and make sure that we're allocators. We will not be launching and facing equity at this price and I'm a buyer for a stock at this price. I'm not a seller.
Floris van Dijkum: Thanks Tom. One follow-up I guess, Tom maybe talk a little bit more mention the -- I believe you have specialist sales group that would be impact of pursuing group sales and how is that bearing fruit, what do you think the impact is going to be going forward?
Tom Baltimore: Let me first give credit to Rob and team. We have been working in partnership with Hilton and credit to Rob and management team has been proactive in a lot of the concept.
Rob Tanenbaum: Great. First, the 100 concept, we added four business development managers on June 5, 2107. Last year the team generated over $2 million of incremental business for us. And this quarter alone Q1, we are almost 5000 rooms that's almost $1 million. Our goal for 2018 for this particular group is $6 million dollars, which is three-fold what we had in 2017.
Floris van Dijkum: Great. Thanks.
Operator: Thank you. Our next question is from the line of Shaun Kelley with Bank of America. You proceed with your question.
Shaun Kelley: Hi, good morning everyone. Thank you for taking my question.
Tom Baltimore: Tom, how are you?
Shaun Kelley: I'm good, Tom. Thank you. I just wanted to ask, I think in the prepared remarks you mentioned a little bit about some of the non-room revenue initiatives you guys have underway specifically, I think you talk a little bit about parking and urban amenities. Can you talk a bit more about that and sort of what inning or what stage you are at rolling out some of those initiatives across the portfolio?
Rob Tanenbaum: Shaun, we continue to maximize our resort the opportunities looking at how we're priced in the market and the amenities that we're providing for those fees. So we're looking -- we're continually moving the speed and we are very successful of doing that. Throughout the portfolio, we're also renegotiating our parking contract for example at By Creek, we had a new parking arrangement started on May 1, which would yield quite great return for U.S. renegotiating and terminating previous operator with new operator. We're also looking at retail leases. We had a director of retail, a senior director of retail leasing, who does a phenomenal job of driving new revenues for us could be a small of rooftop antenna or our car rental agreement at desk. Everything that we're working through the hotels, we feel like we're in the middle innings here with some additional room to grow. And in fact, in this quarter alone our ancillary revenue grew 12% or $5 million
Tom Baltimore: Shaun, I would point out as you, looks the team has been together now. This is the second year since I rejoined Hilton to spin this out. But really 14-15 months as a new independent public company and already showing great progress. Again, it moves 47 basis points last year and $12.5 million of various initiatives, got another $20 million, so I will just identified a bunch of those 75 basis points for this year. So we are really acting on all of the comments, I know [indiscernible] about all those initiatives and showing progress against each and every one of that.
Shaun Kelley: And these type of initiatives, I mean, the first thing is, you are talking especially leases and parking fees. I would assume that these are probably pretty high margin in terms of both flow through and overall. Are they enough to impact the overall company wide margins at this stage and can they be?
Rob Tanenbaum: Shaun absolutely. From a margin perspective, it's a very high margin proposition for us. And as we go work through each and every hotel here, one of the items, [indiscernible] last year at Key West was through maybe some biographic on an additional 21 parking space available to us at Casa Marina resort, and if you can take in a run rate on that that's a huge opportunity for us. Thank you very much.
Shaun Kelley: Great. Thank you very much.
Operator: Thank you. Ladies and gentlemen, we've reached the end of the question-and-answer session and I'd now like to turn the call back to Mr. Tom Baltimore for closing remarks.
Tom Baltimore: Thank all of you for taking time today and look forward to seeing many of you in the coming weeks. And certainly see all in NAREIT. Safe Travel. Happy Spring.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.